Operator: Good morning, and thank you for standing by. Welcome to The Buckle, Inc.'s fourth quarter earnings release webcast. As a reminder, all participants are currently in listen-only mode. A question and answer session will be conducted following the company's prepared remarks with instructions given at that time. Members of The Buckle, Inc.'s management on the call today are Dennis Nelson, President and CEO, Tom Heacock, Senior Vice President of Finance, Treasurer and CFO, Adam Akerson, Vice President of Finance and Corporate Controller, and Brady Fritz, Senior Vice President, General Counsel, and Corporate Secretary. As they review operating results, they would like to reiterate their policy of not giving future sales or earnings guidance and have the following safe harbor statement. Safe harbor statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties, are subject to change based on factors which may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission. The company does not undertake to publicly update or revise any forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized. Additionally, the company does not authorize the reproduction or dissemination of transcripts or audio recordings of the company's quarterly conference calls without its expressed written consent. Any unauthorized reproduction or recordings of the calls should not be relied upon as the information may be inaccurate. As a reminder, this webcast is being recorded. And now I'd like to turn the conference over to your host, Dennis Nelson.
Dennis Nelson: Good morning, and thank you for joining today's call. Before turning the call over to Tom to go through results for the quarter, I want to take the opportunity to thank our dedicated teammates for delivering such a strong finish to the year. I am proud of our team's efforts and steadfast commitment to our specialty store approach of providing great product and outstanding service for every guest. We did this by first ensuring each of our locations is positioned to provide the best possible experience in its market. This is evidenced by our ongoing success program relocating stores out of certain malls and into higher traffic outdoor centers. Over the last four years, fifty-one of our seventy-four remodels have been relocations into new outdoor centers. We also focused on delivering a continuous flow of high-quality and on-trend merchandise allowing us to grow merchandise margins, and end the year with inventory down over four percent and well balanced across categories. During the year, we also made intentional investments in our digital experience, allowing for strong economic performance in the back half of the year. For the fourth quarter, total e-commerce sales grew twelve percent against the same period a year ago. As we move into 2025 with unknowns surrounding tariffs and the economy, we are optimistic that with the strength of our teams, and vendor relationships, we will be able to successfully manage through the challenges of the year. And with that, I will turn the call over to Tom.
Tom Heacock: Good morning. Our March 14, 2025, press release reported that net income for the thirteen-week fourth quarter ended February 1, 2025, was $77.2 million or $1.53 per share on a diluted basis, which compares to net income of $79.6 million or $1.59 per share on a diluted basis for the prior year fourteen-week fourth quarter, which ended February 3, 2024. Net income for the fifty-two-week fiscal year, which ended February 1, 2025, was $195.5 million, or $3.89 per share on a diluted basis compared to net income of $219.9 million or $4.40 per share on a diluted basis for the prior year fifty-three-week fiscal year ended February 3, 2024. Net sales for the thirteen-week fourth quarter decreased 0.8% to $379.2 million compared to net sales of $382.4 million for the prior year fourteen-week fourth quarter. Comparable store sales for the thirteen-week fiscal quarter increased 3.9% in comparison to the same thirteen-week period a year ago, and our online sales increased 6.4% to $69.7 million for the thirteen-week fiscal quarter, compared to $65.5 million for the prior year fourteen-week fiscal quarter. Compared to the same thirteen-week period a year ago, online sales increased twelve percent. Net sales for the fifty-two-week fiscal year decreased 3.4% to $1.218 billion compared to net sales of $1.261 billion for the prior year fifty-three-week fiscal year. Comparable store sales for the fifty-two-week year decreased 2.7% in comparison to the prior year or the same fifty-two-week period in the prior year and our online sales decreased 4.3% to $197.7 million for the fifty-two-week fiscal year compared to $206.5 million for the prior year fifty-three-week fiscal year. Compared to the same fifty-two-week period a year ago, our online sales decreased 2.5%. For the quarter, UPTs decreased slightly. The average unit retail increased approximately 1%, and the average transaction value increased about 1%. For the year, UPTs decreased approximately 2%. The average unit retail increased approximately 3%, and the average transaction value increased approximately 1%. Gross margin for the quarter was 52.6%, up thirty basis points from 52.3% in the fourth quarter of 2023, with the current quarter increase being the result of a forty basis point increase in merchandise margins, along with a twenty basis point reduction in distribution and buying costs, which were partially offset by a thirty basis point increase in occupancy costs. For the full year, gross margin was 48.7%, down forty basis points from 49.1% in the prior year, and the current quarter decline was the result of an eighty-five basis point increase in occupancy costs, and a ten basis point increase in distribution and buying costs, which were partially offset by a fifty-five basis point improvement in merchandise margins. Selling, general, administrative expenses for the quarter were 27.2% of sales compared to 27.1% for the fourth quarter 2023, and for the full year, SG&A was 28.9% of net sales, compared to 27.6% for the same period last year. The fourth quarter increase was due to a fifty basis point increase in incentive compensation accruals, a fifteen basis point increase related to e-commerce shipping expenses, and a ten basis point increase in SG&A salaries. These increases were partially offset by a twenty-five basis point decrease in accrued PTO, a fifteen basis point decrease in marketing spend, and a ten basis point increase in store labor-related expenses, along with a fifteen basis point decrease in other SG&A expense categories. Our operating margin for the quarter was 25.4% compared to 25.2% for the fourth quarter of fiscal 2023, and for the full year, our operating margin was 19.8% compared to 21.5% for the same period last year. Income tax expense as a percentage of pretax net income for the quarter was 23.7% compared to 23% for the fourth quarter of fiscal 2023, bringing fourth quarter net income to $77.2 million for fiscal 2024 compared to $79.6 million for fiscal 2023. For the full year, income tax expense was 24.2% of pretax net income compared to 24% at fiscal 2023, bringing net income to $195.5 million in fiscal 2024 compared to $219.9 million last year. Our press release also included a balance sheet as of February 1, 2025, which included the following: Inventory of $120.8 million, which was down 4.4% from the same time a year ago, and $318.8 million of total cash and investments, which was after payment of $198 million in dividends during the year. We ended the year with $145.8 million in fixed assets net of accumulated depreciation. Our capital expenditures for the quarter were $9.8 million, and depreciation expense was $6.4 million. For the full year, capital expenditures were $42.3 million, and depreciation expense was $23 million. Year capital spending is broken down as follows: $40.3 million for new store construction, store remodels, and technology upgrades and $2 million for capital spending at the corporate headquarters and distribution center. During the quarter, we opened one new store, completed five full remodels, and closed five stores, which brings our full year account to eight new stores, eighteen full remodels, half of which were relocations into new outdoor centers, and eleven store closures. Current plans for fiscal 2025 include opening seven new stores and completing eighteen to twenty-two full remodel projects, with at least half of the planned remodels being relocations to new outdoor centers. We've also closed one store so far year to date with no additional store closures currently planned. The Buckle, Inc. ended the year with 441 retail stores in forty-two states, compared with 444 stores in forty-two states at the end of fiscal 2023. And now I'll turn it over to Adam Akerson, Vice President of Finance.
Adam Akerson: Thanks, Tom, and good morning. Women's merchandise sales for the quarter were up about 4.5% against the prior year fourteen-week fiscal quarter, and represented approximately 43% of sales. On a thirteen-week comparable basis, women's merchandise sales increased approximately 11%. The women's business continues to be led by strong performance in our denim category, with denim sales increasing 15% driven by continued outperformance in our private branded jeans with private label growing over 20%. Average denim price points increased from $81.25 in the fourth quarter of fiscal 2023 to $83.10 in the fourth quarter of fiscal 2024. While the overall average women's price point increased about 1% from $51 to $51.55. Complementing the favorable denim trends during the year, we also saw a strong acceleration in several other women's categories, most notably in knits, sweaters, and accessories. On the men's side, merchandise sales for the quarter were down about 4% against the prior year fourteen-week fiscal quarter, representing approximately 57% of total sales. On a thirteen-week comparable basis, men's merchandise sales increased to approximately 1%. We are pleased to see nice increases in our men's denim business which was up about 1.5% for the comparable period, as well as continued strength in our knits and tees business. We also saw steady growth in our outerwear category, and we continue to identify areas for investment in a variety of styles. Average denim price points decreased from $87.15 in the fourth quarter of fiscal 2023 to $86.30 in the fourth quarter of fiscal 2024. For the quarter, overall average men's price points increased approximately 0.5% from $56.05 to $56.30. On a combined basis, accessory sales for the thirteen-week quarter were up approximately 7.5% against the prior year thirteen-week comparable period while footwear sales were down about 7%. These two categories accounted for approximately 11% and 5% respectively of fourth quarter net sales which compares to 11% and 6% for each in the fourth quarter of fiscal 2023. For the quarter, average accessory price points were down about 2.5% while average footwear price points were up about 4%. Also, on a combined basis, our youth business continued building momentum from back to school through the holiday selling season, with total youth sales for the quarter increasing approximately 10% against the comparable period a year ago. For the quarter, denim accounted for approximately 45% of sales and tops accounted for approximately 29% which compares to 44% and 29.5% for each in the fourth quarter of fiscal 2023. Fueled by sustained growth in our private label denim and strong presentation across our other categories, we continue to see increases in our private label penetration during the quarter. For the quarter, private label represented 51% of sales versus 50% in the fourth quarter of 2023. This growth brings our full year private label mix to 47.5% versus 46% in the prior year. And with that, we welcome your questions.
Operator: Thank you. As a reminder for participants, if you would like to ask a question, please raise your hand in the Zoom app. Prior to asking your questions, please state your name and firm affiliation. Our first question is from Mauricio Serna. I'm gonna go ahead and unmute you at this time.
Mauricio Serna: Great. Good morning. Thanks for taking my question. I'm from UBS, by the way. Sorry. Yeah. Could you just elaborate a little bit more on what you saw on the merchandise margin? I think you called out forty basis points of gains. To what is that attributed? And then could you just also, like, remind us of the other drivers in gross margin in your Q4 performance? And then second point on, you know, of course, there's been a lot of talk about tariffs, you know, like, could you just, like, remind us like, in the prior administration, what was your mitigation plan back then and, you know, what did you see in your merch margins as a result of, you know, the tariffs? Thank you so much.
Dennis Nelson: Good morning. On the merchandise margins, our increase of our private label percentage through the holidays definitely had a positive effect on that. But also just better regular price selling through a lot of the categories to keep the margins and less markdowns at the end of the season. As far as the tariffs go, you know, we feel very good long-term relationships with our vendors, and working with them to, you know, do our best to manage costs there. We feel confident that with that at this time, we will be able to work through that without much harm. So Tom, do you want to hit the gross margins?
Tom Heacock: Yeah. I mean, Dennis mentioned merchandise margins were a big to date. So similar trends there of increased private label and better regular price selling like Dennis called out. And then the other driver is just leverage or lack of leverage on buying distribution and occupancy, so down about ten basis points with the strong comps in the fourth quarter. And down ninety-five for the year to date.
Mauricio Serna: Great. Thank you.
Operator: Okay. Our next question is from John Bratz. John, if you are available to unmute, you can do so at this time.
John Bratz: Dennis?
Dennis Nelson: Yes, John. How are you?
John Bratz: Good. Thank you. Just sort of a trend question. You know, we're hearing a lot about a recession and so on, and how do you see that maybe in your store traffic at this point? And then secondly, our resident apparel or fashion expert was talking about sweat jeans the other day. And I've been reading a little bit about it. Is that a product that's something that you will add to your portfolio? How do you think about that as an offering?
Dennis Nelson: Well, regarding the sweat jeans, I mean, we do have some knit denim in a very small way that a lot of young guys like. So that's a small part of our business. We have some jogging type pants and different looks in the ladies that have been successful, but it is really not in a denim category. So you know, I don't see that being any big player. And I forgot the first part of your question, John.
John Bratz: Store traffic.
Dennis Nelson: Oh, store traffic. We don't have traffic counters in our stores. So with what's going on, the weather and everything, that I mean, it'd just be an estimate of what's happening out there. You know, our February sales were down 1%, so by that, I would guess we're pretty flat traffic.
Operator: Okay. Our next question is from Alan Glenn. Alan, I'll go ahead and prompt you to unmute at this time.
Alan Glenn: There we go. Good morning. Good morning. Can you give us a rough analysis of your inventory sourcing from overseas?
Dennis Nelson: Well, it's still predominantly China. We do Vietnam, some Bangladesh. You know, we have over two hundred vendors. So there's a lot of sourcing from many countries. Our biggest ones though would still be out of China.
Alan Glenn: Are any of them planning to change their production to switch, like, to another country? Do you know?
Dennis Nelson: Yes. And visiting with them, their top personnel would relocate to different countries if it made sense. You know, there are some increased costs in some of the other countries that offset some of the China costs if there are tariffs, but we've never been our product has never been a how low a price we can go. We're more concerned about quality, fashion, the fit, and then we get the our guests want the newness and the quality product, and that's what our focus is on.
Alan Glenn: And I just have one more. You've been making steady progress increasing your online sales. Are you planning any new initiatives in that area?
Tom Heacock: Yeah. Alan, thanks for the question. I mean, online was a very strong performer in the second half of the year and especially in the fourth quarter like we called out, and I think that was a point of emphasis as we came into last year that we talked about all year. We engaged with an external third party to really do a complete review of our website. And we've talked about it on past calls, but made a pretty comprehensive list of improvements to the site that improved the guest shopping experience on the site, their ability to find product that increased on-site metrics as far as AOV and conversion. And so we're really pleased with the progress we made there. As we head into the fourth quarter, the back half of the year, we really focused externally on marketing activities and getting the right mix of content and the content strategy and also the right balance of a focus on acquisition and retention. And so continuing to build there in terms of marketing capabilities and spend there will be the primary focus. But feel good about the site and where the site is. We also did free shipping, so we added in October that also had a nice boost for the fourth quarter. Free shipping offer for all of our loyalty members if they opted into our loyalty program. So that had a nice response as well.
Alan Glenn: Great. Thanks very much.
Dennis Nelson: Thank you.
Operator: As a reminder for participants, if you would like to ask a question, please raise your hand in the Zoom app. Okay. Looks like there are no further questions in queue. I will now turn the call back over to The Buckle, Inc. for any closing remarks.
Dennis Nelson: No questions. We'll conclude the call today. So thank you everyone for your participation, and enjoy the rest of the day.